Operator: Hello, and welcome to Exelon's Fourth Quarter Earnings Call. My name is Gigi, and I'll be your event specialist today. All lines have been placed on mute to prevent any background noise. Please note that today's webcast is being recorded. During the presentation, we'll have a question-and-answer session. [Operator Instructions] It is now my pleasure to turn today's program over to Andrew Plenge, Vice President of Investor Relations. The floor is yours.
Andrew Plenge : Thank you, Gigi, and good morning, everyone. We're pleased to have you with us for our 2023 fourth quarter earnings call. Leading the call today are Calvin Butler, Exelon's President and Chief Executive Officer; and Jeanne Jones, Exelon's Chief Financial Officer. Other members of Exelon senior management team are also with us today, and they will be available to answer your questions following our prepared remarks. Today's presentation, along with our earnings release and other financial information can be found in the Investor Relations section of Exelon's website. We'd also like to remind you that today's presentation and the associated earnings release materials contain forward-looking statements, which are subject to risks and uncertainties. You can find the cautionary statements on these risks on Slide 2 of today's presentation or in our SEC filings. In addition, today's presentation includes references to adjusted operating earnings and other non-GAAP measures. Reconciliations between these measures and the nearest equivalent GAAP measures can be found in the appendix of our presentation and in our earnings release. It is now my pleasure to turn the call over to Calvin Butler, Exelon's President and CEO.
Calvin Butler: Thank you, Andy, and good morning, everyone. We appreciate you joining us today. On Slide 4, we have laid out our key messages for today's call. First, we are pleased to share that final results for 2023 exceeded the midpoint of our narrowed guidance, delivering $2.38 per share of operating earnings, or almost 6% growth off of last year's guidance midpoint. This is the second year in our two years as a purely regulated T&D utility that we have delivered results in the top half of guidance. And that is despite historically mild weather in the Mid-Atlantic where PECO experienced its mildest year in the 50 years we have on record. We also executed exactly as expected on our financing plan, including issuing one-third of our original $425 million equity commitment. Operationally, we continue to set the bar for the industry. We closed out another year with leading performance setting records for performance at multiple utilities. As it pertains to our regulatory activity, we completed three rate cases last year and continue to make progress on the three others at Delmarva Power Delaware, Pepco Maryland and Pepco DC. We received the final order in BGE's second multiyear plan filing for rates effective 2024 to 2026. We were encouraged to receive an order that recognized the importance of investment in support of Maryland's energy goals and a thoughtful path towards decarbonization. We also reached a constructive settlement in Atlantic City Electric rate case. The increased revenue requirement will support its smart meter rollout, its EV smart program for easy and cost-efficient charger installation, and other investments to maintain safety and reliability, as well as improved service for our customers in New Jersey. Last, we received an order in ComEd's first multiyear rate plan, and it was a disappointing outcome. First, the order failed to recognize the financial cost of ComEd's investment, despite nation-leading reliability and low customer rates. It adopted a significantly below average ROE, refused to reflect in rates the prudent share of equity and removed any return on our pension asset despite that asset delivering over $1 billion in customer and counting. But more importantly, it rejected our grid plan which was carefully developed over almost two years through dozens of stakeholder workshops and presentations reaching over 1,000 people and bolstered by voluminous support in the rate case process. Support for the investment plan was very strong, up through the administrative law judge's proposed order. It's important to all of us that are working to meet our state's goals and serving our customers that we have a stable and certain regulatory environments, and we'll work with all of our stakeholders to achieve such an environment and ensure that Illinois is a state that investors are comfortable committing to. As such, a key focus of this team for 2024 will be regaining momentum in Illinois and resolving some of this uncertainty. It is in no one's interest, particularly those in the Illinois communities we serve and live in for the state to lose further ground in its opportunity to lead the energy transformation and forgo significant economic opportunity. We will be working diligently with stakeholders to get it back on track. Jeanne will cover more of the detail around Illinois shortly, and additional details on other rate cases can be found in the appendix. Our last key message pertains to our projected outlook. Consistent with past practice, we have rolled forward our disclosures after adding a year to our guidance window with our guidance running from 2024 through 2027. You'll see that we have added $3.2 billion of capital to our four-year outlook, growing from $31.3 billion over the 2023 to 2026 guidance period to $34.5 billion over 2024 to 2027, an increase of over 10%. This reflects a number of updates across the platform to meet customer needs and jurisdictional goals. Including the addition of transmission investments assigned from the brand insurer's retirement and awarded in PJM's 3 RTEP reliability window to resolve reliability issues from data center growth in the region. These additions are partially offset by the reduction of approximately $1.25 billion in ComEd distribution spend. While we are working to finalize the revised grid plan for our March filing, we believe our plan appropriately accounts for the uncertain regulatory outlook while ensuring customers continue to receive safe and adequate service, and we meet the basic requirements laid out under the Climate and Equitable Jobs Act. This increase in capital expenditures result in rate base growth of 7.5% from 2023 to 2027. And as a result of the significant increase in investment, we have included in our four-year projections incremental equity of $1.3 billion, which represents approximately 40% of the net incremental capital and ensures we maintain a strong balance sheet as we lead the energy transformation. In addition, despite below average returns we are receiving at ComEd, we continue to expect to realize a consolidated ROE in the 9% to 10% range. The result of the plan is an annualized operating earnings growth target of 5% to 7% through 2027 from our 2023 guidance midpoint of $2.36 per share. Now lowering our earnings growth outlook is not a change we took lightly, particularly given the amount of investment needed for this multi-decade energy transformation and our unique scale and platform to lead that work. Reducing investment in ComEd as a result of the final quarter lowered our expected rate base growth, but it also provided us an additional opportunity to deploy capital in other parts of the system across our seven jurisdictions to serve our customers, particularly in transmission. I'll note that the financial benefits of these investments do take longer to play out. Given the larger scale and scope of transmission projects, they require more time to generate cash and earnings relative to the distribution investments they are replacing. But we are confident that we can deliver at the midpoint or better of our annualized growth rating -- growth rate change of 5% to 7% over the 2023 to 2027 horizon and beyond, even after accounting for the potential that the uncertain process in Illinois may require significant further adjustments. And once again, Jeanne will speak more to these updates to our long-term outlook shortly. Lastly, for 2024, we are initiating our projected operating earnings guidance at $2.40 to $2.50 per share. This range gives us confidence that we can accommodate a variety of outcomes through the ComEd rehearing and grid plan processes, along with our typical risk and opportunities we see across our platform. We have also announced an annualized dividend of $1.52 per share in 2024, reflecting 5.5% growth off of our $1.44 dividend per share in 2023, in line with our long-term earnings growth and approximately 60% payout ratio. Moving to slide 5. I will review the 2023 commitments and priorities that we initiated on last year's fourth quarter call and recognize the significant progress we made across all of the areas that we prioritize as a pure-play transmission and distribution utility, which is leading the energy transformation. First, it was another tremendous year operationally. You can see this not only in our scorecard, but the industry recognizes it as well. As we mentioned in our last call, ComEd won, PA Consulting's ReliabilityOne Award as the country's most reliable utility. The best ever performance at ComEd and Pepco Holdings speaks to the high quality of our workforce and our efforts to attract, engage and retain talent. We also met all of our financial goals. We invested $7.3 billion of capital to serve our customers. We earned a 9.3% return on equity, well within the targeted range of 9% to 10% that we target earnings on a consolidated basis. And as I mentioned, we delivered earnings in the upper half of our guidance range. We executed as promised on our strategy to maintain a healthy and strong balance sheet. We issued one-third of our existing equity commitment, raised debt at attractive interest rates at both our operating companies and holding company, and we took advantage of a variety of hedging instruments. We were very active and extremely successful in securing grants enabled by the infrastructure, investment and Jobs Act, securing close to $200 million in awards to support grid resiliency and modernization, at BGE, PECO and ComEd that will make our jurisdictions progress on their energy goals more affordable and equitable. And further, to the focus on customer affordability, we again helped secure $550 million of federal, state and local support for low-income customers that need assistance in paying their energy bills. We also made significant progress in our efforts to maximize value for our customers, institutionalizing a permanent team to discover and execute on opportunities to deliver industry-leading operational excellence for our customers at lower cost, which you'll hear more about from Jeanne. Lastly, we executed on a busy regulatory calendar, setting a rate case -- settling a rate case at ACE concluding another successful multiyear plan for BGE's electric and gas customers that aligns on an appropriate investment strategy for the next three years, and making substantial progress in our Delmarva Power electric rate case and Pepco multiyear plans. As we talked about, while we completed our ComEd rate case, it was a disappointing outcome for all parties. But we've already begun to establish and execute on a path forward, and that's become our top priority in 2024. I will now turn to slide 6 to review how we closed out 2023 from an operational perspective. Starting first with reliability. We again kept outage frequency and duration at top quartile levels or above. ComEd and Pepco Holdings operated at best on record levels in both categories. Performance like this is not something that can be turned on and off overnight. First, it takes a talented and trained workforce. As I mentioned earlier, and we thank the teams that show up each and every day no matter the conditions to compete the lights on and the gas flowing as they did during the severe storms and brutal cold snap that struck in January. Across ComEd, PECO and PHI, over 500,000 customers were impacted, and it takes investment. The demands placed on our system by more severe weather by an increasingly distributed and non-dispatchable generation fleet and by an economy that's more and more reliant on electricity, they all require investment. That's why it's so important to us to have stable and certain regulatory environments. It gives us the confidence to execute on forward-looking planning to manage the pace of investment for the energy transformation and ensure the reliability that all customers deserve and rightly expect. On safety, performance will continue to be a critical area of attention for us in 2024. Our OSHA performance was lacking in 2023 and we remain highly focused on understanding and correcting drivers of underperformance at each of our utility operating companies. The biggest drivers across all of our utilities continue to remain in the day-to-day basics like ergonomics and vehicle-related incidents not the high energy events that truly differentiate utility work and demand particular focus. But this substandard performance even in the lower impact areas is not acceptable, and I expect us to do better in 2024. Customer satisfaction almost universally improved in the fourth quarter with ComEd rising into the first quartile. We are pleased that our efforts to ensure our customers see value in the service we provide are paying off, and we look forward to continuing this progress well into 2024. And finally, gas odor response remained at the dollar levels. And we continue to deliver on what we have here, and I'm so proud of the BGE and PECO, Pepco team -- and Delmarva teams. There was a lot for our employees to be proud of in 2023. We know we have what it takes to be a premier utility and we execute it like one. I will now turn it over to Jeanne to speak more about our financial and regulatory update. With that, Jeanne?
Jeanne Jones: Thank you, Calvin and good morning everyone. Today, I will cover our fourth quarter and full year results, key regulatory developments in Illinois and across the platform, and provide annual updates to our financial disclosures, including 2024 guidance. Starting on Slide 7. As Calvin noted, we delivered strong financial results for the second year in a row despite the historically mild weather impacting our non-decoupled jurisdictions. For the fourth quarter, Exelon earned $0.62 per share on a GAAP basis and $0.60 per share on a non-GAAP basis. For the full year 2023, we earned $2.34 per share on a GAAP basis and $2.38 per share on a non-GAAP basis, results that are at the top end of our narrowed guidance range, and represent almost 6% growth off the midpoint of the 2022 guidance range. Throughout the year, we benefited from a higher earned ROE at ComEd, primarily due to rising treasury rates, impacting ComEd's distribution ROE as well as favorable depreciation of PECO relative to expectations. Additionally, the ruling in December on BGE's reconciliation from its first multiyear plan approved recovery for over 90% of the requested 2021 and 2022 amounts and established a precedent to record a portion related to the 2023 reconciliation, which is expected to be determined in a future proceeding. These benefits, coupled with our ability to manage our plans across the platform, allowed us to mitigate nearly $140 million of weather and storm challenges relative to prior year, along with the labor strike in New Jersey that occurred late in the year, driving contracting costs up year-over-year. In a year in which we faced multiple headwinds, we delivered on our goal to achieve earnings in the top half of our guidance range. Quarter-to-date and year-to-date drivers relative to prior year are detailed in the appendix on Slides 30 and 31. Turning to our outlook for 2024, we are initiating adjusted operating earnings guidance of $2.40 to $2.50 per share, with BGE and PEPCO entering the next cycles of their multiyear plan, 2024 earnings are expected to grow approximately 4% relative to the midpoint of our 2023 original guidance range. Compared to our last update, the reduction in expected year-over-year earnings growth is driven solely by the December 14th rate order issued by the Illinois Commerce Commission and ComEd multiyear rate plan. which we were only able to partially mitigate in 2024 with cost management, redirected investment to serve our customers, and margin we had built up in the plan. Outright rejection of the grid plan, the challenging financial support for our net distribution investment in the December order, and uncertainty around the amount of spend ComEd will be able to recover has caused us to dramatically reduce the originally planned level of distribution investment in Illinois this year. Until there is resolution on the grid plan, our 2024 plan has been risk-adjusted for the overall uncertainty and prudently assumes earnings at ComEd consistent with the December rate order. While the rehearing on the interim revenue requirement is expected to provide additional cost recovery and so grid plan approval, we have not assumed this as our base case. Therefore, despite the uncertainty that remains at ComEd, we expect our 2024 range to cover a range of possible outcomes, from not receiving any rate relief relative to the final order to the prospect that we receive an approval of our revised grid plan. The uncertainty in Illinois will further cause volatile quarterly earnings shaping in 2024, both due to the significant rework of ComEd's operational plan in 2024, as well as due to the fact of the prospects for the rehearing and revised grid plan processes to impact ComEd expected revenue requirements. We currently expect to realize approximately 29% of full year earnings in the first quarter, which accounts for the December rate order ComEd, seasonal weather patterns and the completed rate cases at our other utilities. Moving to Slide 9. I would like to take a moment to step through the regulatory developments in Illinois since receipt of the ITC's final order in mid-December. First, starting with the application for rehearing on December 22, and ComEd acted swiftly to request the commission correct fundamental, legal and evidentiary errors around four primary issues with the final order. Return on equity, capital structure, return on pension assets and the basis of the ordered revenue requirement across all test years that was adopted absent an approved grid plan. At an open meeting on January 10, the ICC granted one portion of ComEd's application. Directing that 150-day rehearing process reconsider the year-over-year revenue requirement increases absent an approved grid plan. While ComEd anticipates that the revenue requirements will be further updated upon approval of our revised grid plan, the rehearing order due on June 10 is expected to reset interim rates for 2024 at the discretion of the commission. Immediately following the open meeting on January 10, ComEd filed with the Third District of Appellate Court, and appeal of the three other elements of the ICC's final order on which rehearing was denied. While there is no set schedule or deadline for an appeal conclusion, we will seek to move expeditiously through the core process. Separately, as directed in the final order, ComEd will file a revised grid plan by March 13. ComEd has fully reengaged staff and all parties to the proceeding to align on the appropriate adjustments to the revised grid plan to fully address the concerns expressed by the commission. We continue to believe significant investment is needed to support Illinois' clean energy goals and desire to promote economic element in the state, a fact acknowledged by all stakeholders. But the revised grid plan we expect to file will reflect the significantly below average financial support provided in the final order and address the commission's feedback to further prioritize affordability. We simply cannot invest at the same pace under an ROE that does not fairly recognize ComEd's cost of financing to do so, especially in the current interest rate and inflation environment. There is no statutory deadline action on the revised grid plan. However, final order stated that the commission appreciates urgency of having a compliant grid plan in place, and is eager to move forward with the grid plan that satisfies the statutory requirements for approval. And so we are optimistic for resolution by year-end. In response to the challenging rate order, our long-term guidance reflects a $1.25 billion reduction in ComEd distribution capital expenditures over the three-year period spanning 2024 to 2026 relative to our Q4 2022 disclosure update. This updated investment outlook for ComEd distribution business includes reductions agreed to with stakeholders, leading up to last October's per quarter. Along with additional reductions to result in a plan that further balances priorities across our stakeholders. As I will discuss later, around our long-term outlook, our guidance has accounted for the possibility that substantially more capital is removed from the plan as a result of the process, despite significant broad-reaching support for our investment strategy. On Slide 10, we provide our updated outlook for CapEx and rate base, covering 2024 to 2027. We plan to invest $7.4 billion in 2024 and a total of $34.5 billion over the next four years, an increase of $3.2 billion or over 10% from the prior planning period. So we reduced ComEd's distribution capital plan by over 18% in response to the final order, the multi-decade energy transformation continues to gain momentum, and we see no shortage of needs to invest for our customers across all of our service territories and an ability to do so at a reasonable cost. We are the largest transmission and distribution utility in the country by customer count, and we have the privilege and responsibility to serve many major densely populated areas. We operate six utilities across seven jurisdictions, including FERC. And beyond our industry-leading size and scale, we are also one of the best operators in this sector, providing a world-class customer experience for reliability at very competitive rates. Given the power of this platform, our updated four-year capital plan includes $3.2 billion of additional capital, net of the adjustments to common distribution to serve our customers. Included in that increase is $1.5 billion of incremental transmission capital over the 2023 to 2026 period, since our last disclosure update. Addressing the significant need for high-voltage investments to support federal, state and customer goals on renewable energy and electrification. $725 million of that increase is projected at ComEd for data center and other high intense new load growth, along with increasing renewables and retirements of older fossil fuel generation is driving increased transmission investment needs. The balance of the additional transmission largely relates to the two large transmission projects discussed on prior earnings calls. The RTEP reliability Window 3 projects awarded by PJM to mitigate reliability challenges driven by incremental data center demand in the region and the other assigned due to the retirement of the brand insurance coal plant. While some of the transmission capital at ComEd is expected to go in service during the guidance period, very little of the transmission spend for the large East Coast project is reflected in the updated rate base outlook. Brand Insurance is expected to go into service in 2028, while the RTEP Window 3 project will be in service closer to 2030, providing line of sight to strong rate base growth beyond the current guidance window. We continue to expect there will be transmission opportunity across our service territories, associated with the same drivers underpinning these projects, high-density, localized load growth, traditional fossil fuel plant retirements increased renewables, not to mention from our extremely well-positioned footprint on the Mid-Atlantic Coast for offshore wind interconnection. To further put our competitive position into perspective, all but one mile of those two large transmission projects is expected to occur on our existing rightways. We expect to remain active in seeking additional opportunities to lead in this space. And as always, we will only include spend in our plan that is identified and expected to proceed tied to the needs of our jurisdictions. In total, our capital plan updates are expected to result in an increase to rate base of 7.5% over the next four years on a compound annual growth basis to $74 billion. This growth adds approximately $18.5 billion to rate base from 2024 through 2027 and reflects a shift in the mix of our total capital growth portfolio by 2% from distribution to transmission since the last disclosure update despite a significant portion of the transmission capital added, not yet placed in service. Exelon's transmission rate base growth recovered through FERC formula rate provides a stable and predictable financial profile. As clean energy and electrification continue to grow, our transmission strategy is designed to adapt to this new paradigm, while continuing to operate the transmission system at world class levels. Moving to slide 11. One way to ensure sustainability of our capital growth profile is to continue delivering superior value as efficiently as possible to our customers and communities. And as one Exelon, we are building from a strong foundation. Our history of steady cost discipline, while delivering a premier experience for our customers has positioned us very well, as you can see in the chart on the right. Exelon's investment in grid modernization has enabled an approximate 40% increase in reliability performance across the platform, whether based on outage frequency or outage duration, while maintaining average electric rates 17% below the top 20 metropolitan cities in the United States. More simply put, when a dollar is placed in our hands to invest, our customers entrust us to create value through reliable, affordable service. Had our adjusted O&M costs growing in line with historical annualized inflation rate of 3.5% from 2016 through 2024, they would have increased by approximately $1.2 billion. Instead, we are projecting a 2.4% CAGR for the same period, eliminating $400 million of customer rate increases that would have occurred without our intentional focus on driving efficiencies. And while 2024 is expected to grow at a higher rate, one key driver is the number of significant back office and operational IT system investments whose savings will be monetized over a longer period of time, as I'll discuss in a minute. In addition, upon aligning with several of our jurisdictions on the spending programs associated with advancing their state's energy goals and priorities, through the recently approved rate cases, we are anticipating some catch up to meet the levels of service and investment agreed upon with our jurisdictions. However, we expect to maintain an annualized growth rate of approximately 2% through 2027, a below inflation level that is expected to result in – to our customers over $400 million lower than they otherwise would have been. Our expectation is to limit the annualized O&M growth rate to approximately 2% over the long-term and maintain our competitive position with rates among those that are the lowest in the nation will improve our customers' experiences. In fact, our multiyear plan rate structures allow us to quickly flow any benefits back to customers. Let me take a moment to highlight a few ways in which we continue delivering value for our customers. First, as Calvin mentioned, a permanent team has established in 2023 to continue efforts to standardize and streamline the structure and operations of the organization. Ensuring all of our efforts are coordinated with the sole purpose of serving our customers and communities in an efficient and superior manner. Second, we have several initiatives underway to upgrade major enterprise resource planning, customer billing and automated work order systems expected to create work efficiencies, some of which I mentioned are driving our spend in 2024. Third, we are standardizing storm response protocol to increase rolled transparency and accountability and emergency events, mitigating cost risk and improving restoration performance in the future. Fourth, we are delivering a framework to migrate from a preventive maintenance, asset management strategy to an automated condition-based maintenance strategy in our transmission operations. And lastly, we are streamlining processes and leveraging technology, particularly in the call center and field for increased efficiency and responsiveness to our customers. To ensure that R&R remain strong and we can invest at the levels our jurisdictions want, we are committed to leveraging our size and scale as one Exelon to manage costs across our operating companies and deliver affordable rates for our customers. Turning to slide 12. With $34.5 billion of projected capital spend driving 7.5% rate base growth and with continued focus on earning ROEs of 9% to 10%. We are initiating an annualized operating earnings growth target of 5% to 7% through 2027 from our 2023 guidance midpoint of $2.36 per share. The lower growth outlook from what we previously laid out is not a decision we took lightly, but as a result of the challenging rate case outcomes and decelerated piece of investment in Illinois. As you heard from Calvin, Illinois is only one jurisdiction in which we operate. We are continuing momentum in our other jurisdictions as the second multiyear plans at Pepco progressed in line with our expectations, as PECO anticipates filing in the first half of this year, consistent with our general two to three-year rate case cadence and does all of our utilities execute on the robust transmission strategy and cost management initiatives outlined on the prior slide. Accordingly, we are confident that our earnings CAGR will be at midpoint or better of the 5% to 7% range over the 2023 to 2027 period and in future updates. Even with the process in Illinois remaining uncertain, our earnings growth guidance is resilient and account for the possibility that limited progress is made in Illinois, and we need to significantly reduce investment in common distribution further. We also continue to project an approximate 60% dividend payout ratio of operating earnings, with the dividend growing in line with our long-term earnings target. We announced today an expected annualized dividend of $1.52 per share in 2024 which is over 5.5% higher than the 23% dividends. Maintaining our commitment to transparency and predictability, we have provided year-over-year drivers contributing to the expected annual growth in our earnings through 2027 on slide 13. While there is variability in the year-over-year growth over the four year time period, the business drivers provide transparency into our expected 5% to 7% growth through 2027. Including an expectation to deliver every year after 2024 within the 5% to 7% range, if not above. I will conclude with a review of our balance sheet activity on slide 14. As you have heard from us before, maintaining a strong balance sheet is core to our strategy, and we closed out another year with credit metrics comfortably exceeding S&P and Moody's downgrade thresholds of 12%. Similar to the first two years since operation, over the guidance period, we project to continue to have approximately 100 basis points of cushion on average for our consolidated corporate credit metrics above the threshold specified by the agencies. While the final rate order issued by the commission in Illinois negatively impacted our future cash flow outlook, we have largely mitigated those impacts through cost management and curtailment of distribution capital spend at ComEd, while ensuring we maintain a safe, reliable growth for customers. As we identify new investments in the plan, we are funding in a prudent manner by incorporating an incremental $1.3 billion of equity to ensure we maintain our previous commitment on pushing and keep us on a path to 13% to 14% consolidated credit metrics over time. As our consolidated spend profile has shifted more towards transmission, the cash generated from these longer-dated investments is expected to follow the earnings largely beyond the guidance period and further strengthen our credit metrics over time. Additionally, I'd remind you that our plan continues to incorporate the assumption that the corporate alternative minimum tax will not allow for repairs. If implemented in a way that mitigates the cash impact, we'd expect an increase of approximately 50 basis points to our consolidated credit metrics average on average over the plan, which would provide incremental cushion. From a financing perspective, we expect the $34.5 billion capital plan to be supported by $19 billion of internally generated cash flow. $10 billion of debt at the utilities and $3 billion of debt at the holding company with the balance funded with a modest amount of equity. In the fourth quarter of 2023, we completed $142 million of equity via our ATM and expect $150 million to be issued in 2024. And as mentioned, to fund the robust $3.2 billion of incremental capital opportunities while maintaining a strong balance sheet, our financing plan includes $1.3 billion of additional equity that we expect to issue over the 2025 through 2027 period. The incremental equity funds 40% of the incremental capital investments over the four-year plan and represent slightly more than 1% per year of Exelon current market cap. As we work with our jurisdictions and identify needs for further investment of utilities, we anticipate that any incremental capital investment will be funded by no more than approximately 40% equity. I want to close by reiterating our confidence in investing an estimated $35 billion of capital across our diversified platform from 2024 to 2027, driving 5% to 7% earnings growth from 2023 to 2027 with an expectation of midpoint or better and maintaining a strong balance sheet while doing so. Thank you. I'll now turn the call back to Calvin for his closing remarks.
Calvin Butler: Thank you, Jeanne. I'd like to conclude with our priorities and commitments for this year and remind you of Exelon's unique value proposition for their jurisdictions it serves and its investors. As you'll see, they're very consistent with our focus areas for 2024, a good reminder that we aim to reliably deliver against a predictable and consistent strategy, as you'd expect from a premier utility. First, you can count on us to prioritize operational excellence and safety in service of our customers. As you may have seen, once the creation of a Chief Operating Officer position and named Mike Innocenzo, the CEO of PECO to that role. Mike will build on the top-tier performance level customers have come to expect. And in succeeding him, Dave Velazquez, will bring his wealth of experience and strong leadership to PECO. Both moves are a testament to the unparalleled bench strength that Exelon enjoys. And our Chief Human Resource Officer, Amy Best, has been instrumental in building that advantage. We wish her all the best in her next chapter and look forward to Denise Galambos' leadership as Exelon's new Head of HR. Second, we expect to deliver on the prudent financial plan that we have laid out. Spending $7.4 billion less in the grid on behalf of our customers and communities, earning a consolidated return on equity in the 9% to 10% range, consistent with the cost of investing in the grid, and delivering earnings in the range of $2.40 and $2.50 per share, while maintaining a strong balance sheet in executing our financing strategy. Next, we expect to reach collaborative and constructive outcome of the rate cases we have underway, along with the ones we expect to initiate in 2024 to ensure we can continue to deliver safe, reliable, and affordable energy to our customers and help the states make their desired progress on their energy goals. And we will continue our efforts to ensure the energy transformation is as equitable and affordable as possible. Building on our success in 2023 in mid-January, we submitted seven concept papers for the next $3.9 billion that the Department of Energy's grid deployment office is making available under its GRIP program enabled by the Infrastructure Investment and Jobs Act. With proposals ranging from software across the enterprise to enable increasing levels of distributed renewable energy sources to target an investment at Pepco Holdings to combat coastal impacts of climate change they highlight our creative and far-reaching efforts to partner with our jurisdictions and creatively line local state and federal policy. And beyond accessing these funding sources, as Jeanne highlighted, we will continue our efforts to standardize and simplify our operations to manage the increases in costs associated with the expanding needs of the grid, while delivering premium for customers. Lastly, what's distinct this year is a recognition that last December's final order in the ComEd multiyear plan did not bring the resolution on how to invest over the coming years in the first rate case process undertaken by the approach laid out in the Climate and Equitable Jobs Act. But while we are disappointed, we are not deterred. We are committed to finding a path forward with stakeholders that restore certainty for our customers, employees and investors. We believe everyone wants a level of investment that can deliver on the promise of seizure and positions us to lead the energy transformation. And so will we be working toward that outcome while preparing to pivot if that's not the case. Delivering against these priorities while continuing to establish our position as a premier T&D utility, and Slide 16 reinforces that value that we offer. Exelon's platform is incredibly unique. We have the privilege and responsibility serving some of the nation's greatest cities with jurisdictions that recognize the unique opportunity they have to lead the energy transformation. Our asset footprint, the transmission and distribution network that is the lifeblood of making that transformation happen for our jurisdictions is unmatched. As is our scale with over 10.5 million customers across our seven ratemaking jurisdictions. We have been setting the bar for operational performance for years and our ability to invest to support that performance is backed by strong forward-looking and predictable regulatory mechanisms. With our dividend yield at 4.5% and a 5% to 7% annualized earnings growth rate that we have a strong conviction in achieving, we are offering investors total shareholder returns in the 9.5% to 11.5% range and extremely attracted risk-adjusted proposition. I am so proud of this team for the commitments made and kept in 2023, and we look forward to doing the same in 2024. As always, thank you for your time and support, and we'll now take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Shar Pourreza from Guggenheim Partners.
Shar Pourreza : Hey guys. Good morning.
Calvin Butler : Good morning, Shar.
Jeanne Jones : Hey, good morning.
Shar Pourreza : Good morning. Calvin, starting with Illinois, I mean the team has had a few months now to digest the order. You're not alone in facing sort of that disorder from the ICC. I mean, both the electric and gas guys have throttled investments and they've laid off workers. I guess what did you guys miss heading into that final order? But really more importantly, why is this current distribution spend now appropriate? Is it a floor kind of positioned for upside in Jeanne's comments for 2024 kind of broad with upside and downside. So just trying to handicap the path forward with this new guidance. Thanks.
Calvin Butler: Yes. Thank you, Shar. And as both Jeanne and I expressed, disappointment with the outcome. And the disappointment, I'll frame it first, that despite the high level of engagement with stakeholders, and the administration around the state's policy and alignment. And with the passage of the Climate Equitable and Jobs Act, the work that the team put in, and I need to give credit to Joe Jonas and his team for the amount of effort that they put in. Let me take a moment to remind you of the steps that we're taking leading up to that final order, and we were tracking. Leading up January 2023 filing, Shar, we participated in 15 ICC led workshops with hundreds of participants. We responded to more than 10,000 data requests during that 11-month rate process, and we ended up with a proposed order that granted almost 80% -- 79% or so of our revenue requirement ask with only a $350 million gap in rate base or about 2% by 2027. But part of that process with all those stakeholders, the one group that we hadn't heard from was the Illinois Commerce Commission themselves. Well, now we have. And our job is to align with what they are requesting. And we jumped right back in, as Jeanne outlined, into that stakeholder process. Jill and his team are meeting on a regular basis with those stakeholders to lay it out and to meet the objectives that seizure requires and what the commissioners want. And they outlined affordability, reliability, which their common goals. Now it's just a matter of how do we get there. So to your question, what confidence do we have? We are building a plan to achieve those goals, and we will continue to talk with those stakeholders. But as Jeanne also laid out, we are ready to pivot if required. What I can tell you with assurance is that this 5% to 7% earnings growth is premised on multiple outcomes. We're taking those things into consideration, and we'll be able to make those adjustments. But we're going to put together and are putting together a plan to meet all of those objectives. But let me just be very clear. Our priorities are the following: provides safe and reliable electricity for the citizens of Illinois and maintain a healthy, financially strong company. In that partnership, we think we can achieve there. We can achieve those goals. And we don't believe those goals are any different than the Illinois Commerce Commission. We heard their voice, and now we're leaning into that discussion. Jeanne, anything you'd like to add?
Jeanne Jones: Yes. I'll just update. I think I'll address Shar's second part of that question. So 2024 to your point, Shar, we've provided a guidance range with a midpoint that assumes the 12-14-2023 order. We have the rehearing process going on, which is about an interim revenue requirement while the grid plan is being approved. And then we have the grid plan process, which will kick off and we filed that on March 13. Depending on those outcomes, there could be upside to the 2024, if we get an interim revenue requirement or a grid plan move, but the midpoint assumes the December order. Now beyond 2024, we did approve the -- or sorry, we did assume that the grid plan would be approved. It is a great plan that, as Calvin mentioned, is focused on safe, reliable operations and alignment on the progress in CEJA it's lower, right? We're not going to be able to make as much progress on CEJA just given the unfavorable economics. But we do want to make progress and we will. Now there is not a set time line for the commission to opine on the grid plan. But we are, as I mentioned in my prepared remarks, we are optimistic it gets done this year. The commission stated that in their order in December that they understand the sense of urgency. And so while it does assume that the grid plan is approved, 2025 to 2027, we are prepared if we cannot get alignment to make further reductions and still deliver.
Shar Pourreza: Perfect. I appreciate it. Let me leave at that. Thank you guys.
Calvin Butler: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Nicholas Campanella from Barclays.
Nicholas Campanella: Good morning, everyone. Thanks for taking my questions. So I guess just to, kind of, clarify on the CapEx plan. I mean the plan is $3 billion can change higher, to your point. I guess your 2026 rate base does seem like it is lower, though plan-over-plan. So I guess, could you just help us clarify what's maybe driving that? I know there's probably some moving pieces in the starting point for ComEd rate base, but yes.
Jeanne Jones: Yeah, it's really the difference between the distribution. So pulling back on the distribution investments and then replacing it with transmission. We talked about it in the prepared remarks. There's kind of two slices of it. There's the awards we've been talking about, the brand insurers and the ARTEP window, where, those projects will close in 2028 and at the end of 2028 for brand insurers and then 2030 for the ARTEP window. And so those will go into rate base outside of the planning period. And so as we move distribution out and layer those in, you're not seeing the 1:1 offset rate base. We do have other transmission that will close within the period, but it is back-end loaded. And as you know, transmission doesn't have, even if it's closed within that you're right, it doesn't have the same impact of distribution. So it's really just the shift that we made from D2C.
Nicholas Campanella: That's helpful. I appreciate that. And then, I guess, maybe you can help us understand on the financing, really not much equity to do in 2024. Just where does your balance sheet stand for 2024 relative to the agency minimums? And just what's the feedback been from the agencies on this new plan and maintaining the stable outlook? Thanks.
Jeanne Jones: Yeah. Yeah, no problem. So I think the message is consistent with how we talked about it last year. So we had said over the planning period, we expect to be at 100 basis points of cushion absent CMT. And if we get the corporate alternative tax alleviated, we'd be back into the middle of that range. Obviously, a couple of things happened since we last spoken, first, the ComEd order. And with that order, we did see an impact to our balance sheet. We then mitigated that impact largely, not one-for-one, but we had a substantial mitigation through the reduction of the distribution spend as well as O&M reductions and looking at pension contributions and other things to pull all the things we could to make sure we got back up and mitigate as much as we could, a large portion of that ComEd order. The other piece was layering in the new capital. As we layered in that new capital and funding it with about 40% equity, we were able to maintain that cushion that we wanted, right, that 100 basis. Now if you think about it from a year-over-year perspective, as we've also talked about in the past, I think we expect the front-end of the plan to be a little bit lower, particularly on the Moody's side, still about the threshold. But lower in 2024 and getting better over the planning period, mostly due to some of the cash recovery regulatory mechanisms like the formula rate true-up for 2023 that will come in 2025. And then -- so that kind of -- that's why we show you that average but at the average of 13%. And then again, I would say the impact of the equity starts to sort of build on itself. And so as you get to the back end of the planning period and beyond, that is helpful in terms of continuing to bolster that cushion. But then also as those transmission projects close, the cash flows, they are also beneficial to the metrics. Yeah. Okay. Thanks, Nick.
Nicholas Campanella: Thank you.
Operator: Thank you. One moment for next question. Our next question comes from the line of Steve Fleishman from Wolfe Research.
Calvin Butler: Hey, Steve.
Steve Fleishman: Excuse me. Hi. Good morning. So just I know you're engaging with a lot of the parties, as you said, in Illinois. Just -- is there any chance you could settle some of these issues? Or do we need to just let the commission kind of on everything? And is there any -- beyond just the order they gave, is there any opportunity to get better sense from them, the commission level, what they want, are we just going to have to kind of wait for a fine water, again?
Calvin Butler: Yes. No, thank you, Steve. I'll start with this, and then I have with me Gil Quiniones, who's the CEO of ComEd to really be in here as well. My view on this settlement, as I mentioned, Gil and his team are engaged with the stakeholders. We may read some settlement in discussions with stakeholders about what they're looking for, and we would submit it to the commission. But I think overall, a settlement in principle on the rate case, I think, is unlikely. The process will continue to play out. And the fact that, we are in the midst of a pending proceeding, we cannot speak directly nor should we, with the commissioners themselves. So our view of what they -- where they stand came in the form of their December 14 order, and we have a clear understanding. But what we can do and what we are doing is engaging with staff. Consistently talking again as we did for the last two years. We're back reengaged in that process. And what we are providing them and sharing with them and then I'll turn it over to Gil is under the tenets of the Climate and Equitable Jobs Act. The need to align policy and practice, what the law says and what we need to do to carry it out seek some alignment between the legislative body and the commission to accomplish the shared goals of all of us. And that is our conversation from day one, and that will continue to be based on the feedback that they've given. Gil, anything you want to add?
Gil Quiniones: Yeah. Calvin, and Steve, what's different now is that it's very clear in the final order what they identified as things that complied with the law and things that the commission things there are gaps. So one-by-one, we are making sure that we're addressing those gaps in the final order. Second, as Calvin said, we're working very closely with staff and each of the intervenors in this case to make sure that we have alignment. In some cases, some intervenors have very specific areas that they would like for us to address. And as Calvin said, in those cases, we may have alignment where we can stipulate in our testimony that we have arrived at an agreement with those specific issues. So, we're making sure that we are addressing what the final order set, where the gaps are. We're working very closely with staff to make sure we have alignment with them. and then we're working with each of the intervenors in the case for their very specific issues that they want included in our grid plan.
Steve Fleishman: Okay, great. Thank you.
Calvin Butler: Thank you, Steve.
Operator: Thank you. Our next question comes from the line of Julien Dumoulin-Smith from Bank of America. 
Calvin Butler: Hey Julien.
Julien Dumoulin-Smith: Hey good morning team. Hey great. Appreciate it. Just wanted to follow-up real quickly on some of the Nick's cash questions real quickly. Can you guys comment a little bit? I mean, FFO looking through the four-year window here, a little bit better than the prior plan. And that's in spite of obviously some of the rate base dynamics, et cetera, but it looks like a $2 billion bump to CFO there helps the balance sheet. But can you talk about that a little bit further here? And then also maybe if you can to elaborate on some of the earlier questions, I mean, where do you guys overall within the plan? I know that you articulated here given years up and down. But overall, are you in the lower end or the midpoint, if you will, of the updated EPS?
Calvin Butler: So, let me take the last part first, and then I'll turn it over to Jeanne. So, as we talk about the 5% to 7% earnings growth, we are committed to midpoint or better. And I think Jeanne even referenced at least, right? So, this is a plan that we've put together that's very prudent and our ability to achieve it. And we've demonstrated as an organization, we can take on headwind and continue to meet the target. As I said, Julien, I'm so proud of the team and the commitments made and commitments kept, right? And we will continue to do that. You think about what we had to overcome in 2023 to deliver in excess of our midpoint to $2.38. So, that's the commitment there. And I'll let Jeanne talk about the additional equity and balance sheet and so forth.
Jeanne Jones: Yes. And then Julien -- we do also continue to show you, Julien, in the year-by-year, which gets you to that midpoint or better. So, again, there will still be some years above the range, years within the range, all within the range, but some different points to get you to that mid-screen or better, as Calvin mentioned, that side continues in the deck. On the balance sheet, I guess, I would characterize a little bit different. I think we're consistent with where we were. So, we had expected to be at the 100 basis points of cushion. We expect to continue to contain that 100 basis points. We largely mitigated the ComEd order through our own internal levers. And then as we layered in the capital to maintain that cushion, we funded it in a balanced way by layering in that 40% of every new dollar of equity.
Julien Dumoulin-Smith: Got it. And through the plan, you're assuming consistent authorized equity ratios and returns to get to that midpoint or better?
Jeanne Jones: We are assuming the authorized, yes, for each of the jurisdictions on the cap structure.
Julien Dumoulin-Smith: Yes, cap structure and ROE, yes, indeed. Excellent. Well, I will leave it there guys. Thank you very much.
Calvin Butler: Thank you, Julien.
Operator: Thank you. One moment for our next question. Our last question comes from the line of Ross Fowler from UBS.
Ross Fowler : Good morning, Calvin. Good morning, Jeanne. So I want to acknowledge before I ask my question, that there is upside to the unit process, but I wanted to spend a minute on, Jeanne, I think what you talked about is the downside to the forecast and the risks in Illinois versus the plan. You did a great job mitigating some of that today with the transmission CapEx to replace sort of the distribution CapEx. But that was a lot of brownfield transmission that we've been talking about for a while and even that is sort of back-end loaded in the forecast and greenfield would presumably take even longer. So maybe you can continue to do that if there's downside to distribution CapEx in that ComEd in the plan, but what are the other levers that you could pull here? Is that lower equity as CapEx declines? Is that lower O&M? How do I think about what levers you have at your disposal to sort of offset that downside risk should that be out coming Illinois?
Jeanne Jones : Yes. I think I get a couple of parts there. I would say, one, for every plan that we put forth always prudently include some sort of for lack of a better word, cushion, right? So we're not -- we've got a bunch of scenarios that we're modeling and we're making sure that we can deliver regardless of where the final grid plan comes out. I would say at the low ROEs, right? It takes a lot of capital at ComEd, to make it on the distribution side to make it a meaningful impact up or down, and we're prepared to pull back if we need to. And to your point then, that could have further impacts from a financing savings and other things. Obviously, we would always look for O&M levers as well as we have done in the past. I would say we -- portion of the transmission that we added, as I mentioned in the prepared remarks, was not what we had talked about, it was new opportunities that we had on the list at ComEd related to the high-density localized low growth there on the data centers, continuing to modernize that portion of the grid. So these are needs that need to be addressed on our system. The other thing I would say is, as we talked about before, while we have the two opportunities that we mentioned, we continue to see where we operate in our jurisdiction potential for further transmission related to interconnection of offshore wind, whether it's the Maryland executive orders, the New Jersey executive orders. As those projects are built, given our footprint, we stand to be competitive for that. So I think there's other opportunities that exist. And the plan reflects the upside from continuing to execute on the grid plan, but also the ability to pull back. We also don't assume any of the performance metrics, right? I think we're going to make sure our growth plan is also set up to be able to capture some of those. Obviously, that's a metric, but we're going to do a work real hard to get some of that, and that's not included in the plan either.
Calvin Butler : Yes. And if I can just add, Ross, I think on what's critical, what Jeanne has said is that understanding Illinois is just one of our many jurisdictions in which we operate and what we continue to demonstrate in terms of the value of Exelon is our scale and size and the jurisdictions and the opportunities that exist across our platform. We always talk about the power of the platform, and you saw it flexed in 2023, and you'll see it flexed over our long-range plan from 2024 to 2027. So Illinois is a focal area. And as I shared with you, it's a priority for all of us. I know Gil and his team are fixed on it, but we have other businesses that we will continue to run and as always, manage our costs and to ensure that we do it in a very pragmatic basis. Thank you for the question.
Ross Fowler: Sure. Thanks, Calvin. Appreciate it. Thank you.
Operator: Thank you. At this time, I would now like to turn the conference back over to Calvin Butler, Exelon's President and CEO, for closing remarks.
Calvin Butler: Gigi, thank you very much. And more importantly, thank you to everyone for joining today's call. We look forward to seeing many of you in 2024 and as committed for the upcoming spring conferences, Jeanne and I and Andy, the IR team will be on the road. They promised me that we'd be doing that. So thank you, and I look forward to engaging with all of you. But more importantly, I just want to say to the 19,500 employees here at Exelon. Thank you for everything that you guys do each and every day. So proud of the performance that we delivered in 2023, and I know we're just getting started. So with that, Gigi, that concludes today's call.
Operator: Thanks to all our participants for joining us today. This concludes our presentation. You may now disconnect. Have a good day.